Operator: Thank you for standing by. This is the conference operator. Welcome to the WeedMD Inc., Second Quarter 2020 Results Conference Call. As a reminder, all participants are in listen only mode, and the conference is being recorded. After the presentation, there'll be an opportunity for analysts and investors to ask questions. [Operator Instructions] I would now like to turn the conference over to Marianella delaBarrera, Vice President, Communication and Corporate Affairs with WeedMD. Please go ahead.
Marianella delaBarrera: Thank you, Ariel, and good morning, everyone. Welcome to WeedMD's second quarter 2020 conference call. Please note this call is being recorded. For copies of our press releases and supporting documents filed today or to retrieve a recording of this call, please visit the Investor Relations page on our Web site at www.weedmd.com. The replay will be available later this afternoon. With us today, we have Angelo Tsebelis, Chief Executive Officer of WeedMD, and Lincoln Greenidge, Chief Financial Officer. Today, we'll review the highlights and financial results for the second quarter of 2020 as well as recent developments and providing business and operational updates. Following these formal remarks, we will be prepared to answer your questions and we'll be joined by Stephen Ng, our Chief Commercial Officer for the Q&A portion of the call. I would also like to remind everyone that today's call -- on today's call, we will discuss our business outlook and make forward-looking statements. Actual events or results could differ materially due to a number of risks and uncertainties including those mentioned in our most recent filings with SEDAR. These comments are made based on predictions and expectations as of today, in other than as required by applicable security laws, the company does not assume any obligation to update or revise them to reflect new events or circumstances. Now at this time, it's my pleasure to introduce Angelo. Please go ahead.
Angelo Tsebelis: Thanks, Marianella. And thank you everyone for joining us today. Before we delve into the progress and results of Q2, I want to take this opportunity to provide a personal account of the year-to-date. This isn't the first full quarter that I'm reporting on as a CEO. Shortly after being appointed CEO, I set out a plan around three key priorities for the company. We established a clear vision and corporate structure to drive the business integration and to execute our commercial strategy and plan. It is these priorities that have laid the foundation for not only Q2 for the rest of 2020 and beyond. The strategic shift from bulk or wholesale B2B sales to becoming consumer focused, packaged goods company has been at the core of not only our operational transformation, but also our corporate mindset has been evident in our sales mix, our customer and stakeholder engagements, as well as the overhaul of some of our operational infrastructure. As such, we continue to drive the business integration and the WeedMD and Starseed operations. We successfully consolidated our medical channel into a single platform, we reintroduced our color brand and expanded product line with new strengths, launching new product formats significantly outsized our cultivation, consulted operations to realize greater economies of scale, introduce automation in both labeling and packaging to drive our efficiency and speed to market, concentrate on bringing down our SG&A, signed additional union groups and benefit insurance providers and that's just to name a few items. A critical step in riding the shift has been the continued effort to clean up the balance sheet we inherited by paying down over 12 million in payables since the beginning of the year, as well as identifying and writing down trimming old inventory from previous years. It is through decisions like these that we have managed to unencumbered ourselves and continue to find efficiencies through consolidated activities and removing duplication. At the end of the day, our success ultimately speaks to our people and their ability to drive to execute the commercial plan. We have assembled the best leadership team in the industry and our employees passion and engagement is clearly evident in the energized cultivation, processing and packaging teams, as well as a bolstered sales and marketing team. We're sending these great accomplishments in the first half of the year. Our second quarter results we're not immune to the effects of COVID-19. Our inability to conduct our live education activation initiatives that are union insurance partners and their respective members resulted in a flattening of new patient registrations and softening of medical sales. A combined second quarter net revenues of 5.9 million also reflects some of the changes in consumer buying behaviors, which saw loading of sales in late March and much of April, which ultimately included a reduction of in store purchases, as well as reduced consumption of some retail formats such as pre-rolls. For the six months ended June 30, we recorded net sales of 18 million, compared to 11.3 million for the same period in 2019. The six-month revenue increase in 2020, year-over-year was mainly due to the full period contribution of Starseed. growth we've continued to experience in adult use in market and of course the substantial sale of outdoor biomass in international license older at the beginning of the year. Despite COVID-19 headwinds to our business, we are encouraged by the level of consumer activity and sharp upward movement we are currently seeing throughout operations. Since late June, net sales have continued to climb back to pre-pandemic levels, as the overall industry has rebounded. And we are confident in our ability to grow near term revenue as we continue to drive towards profitability. Starting in the second half of 2020, we have seen an uptick in customer activity, both from our direct and consumer and patient sales channels. We're on the path to profitability, as evidenced by our steady improvement in gross margin performance quarter-over-quarter, the increased harvest as a result of our greenhouses, in fully operational delivered cost per gram from home harvest at $0.55 in Q2, compared to $0.96 in the comparable period for 2019. Coupled with the continued effort to introduce and drive efficiencies. to streamline activities like the introduction of automation and some improvements in packaging, we feel we're in a strong position to drive through the rest of the year. We're now harvesting product in 17 rooms in our greenhouse. It's truly impressive taking into account that 10 of these rooms were just brought online in the latter months of 2019. To note we didn't beer is currently producing the most quality cultivated cannabis that the company has ever produced in a single period. Importantly, we significantly increase our capacity in 2020 without sacrificing our product quality. We also began our second season about our cultivation, which we anticipate to have an impressive harvest over the coming weeks. By building on our experiences from last year's harvest, we achieved even greater progress today. They're well on track to harvesting a crop that is looking exceptionally promising and very pleased with what we've been able to achieve and what I personally think our season cultivation seeing for all their hard work and dedication of bringing this season to fruition. Importantly, we remain disciplined in controlling expenses and reducing our SG&A by 1.7 million as a result of ongoing integration and other operational efficiencies. I think we can provide, Lincoln will provide additional details in our second quarter financial performance shortly. Over the past few weeks, we've shared a stream of steady news, which I encourage you to read at your convenience. But the highlight some of those we announced the expansion of our product offerings across all channels with our cannabis 2.0 lineup of vapes, topicals, and gels, including key strategic partnerships with Mary's medicinals and Fire & Flower. We secured an amendment to our Strathroy sales license to include the production and sale of all cannabis formats from the site. That will use brand color cannabis introduced new cultivars, cultivars and black sugar rose, we merged our WeedMD and Starseed medicinal channels under one streamline platform. And most recently, we secured $30 million of non-dilutive financing from our strategic partner funding in a pension fund. This financing comes at an inflection point in our development, as it provides important working capital to drive sales and marketing initiatives for both our medical and adult use brands, especially as we look to add more distribution channels for greater market penetration, as the retail segment doubles in size over the coming year, want to thank the leadership in the pension fund for their continued support on our shared strategic and commercial vision. Their investment underscores their dedication to delivering medical cannabis as a safe alternative to opiates, as well as the commercial value they see in both our adult use and medical service offering. In summary, despite some challenging operational conditions in Q2, we continue to make significant progress. We remain focused on executing against our vision, and we are well positioned for continued growth. This concludes my opening remarks and I will now hand the call over to Lincoln our CFO who will review our financial results. Lincoln?
Lincoln Greenidge: Thank you, Angelo, and good morning everyone. Today I'll briefly review the second quarter 2020 financial highlights as Angelo as already mentioned second quarter corporate highlights. We reported net revenue for the quarter ended June 30, 2020 of 5.9 million, compared to 8 million for the quarter ended June 30, 2019. As a percentage of revenue direct to consumer accounted for 2.6 million, or 45% and wholesale accounted for 3.3 million or 55%. For six months ended June 30, 2020, net revenue was 18 million compared to 11.3 million in the comparable 2019 period. Six months increase was mainly attributable to the full period contributions [indiscernible] market and a significant sale of dry cannabis for license holder in the beginning of 2020. The second quarter 2020 gross loss before changes in fair value was 9 million, 15% gross loss compared to the 11% gross margin in the previous quarter, and 46% in the prior year. The 50% negative margin was primarily due to 2.9 million of non-cash items, which included a 1.4 million in payment charge, an inventory during the quarter, and steps taken to automate and optimize operations at the Aylmer, Strathroy and Bowmanville facilities. As we fully ramp up driving towards the end of the year, we expect to see improvements in our costs at various stages along the value chain. Now I'd like to provide some greater context into our gross margin results. Looking at our gross margin before changes in fair value and non-cash items, results reflected as 55% gross margin versus negative 15% reported and strengthen our continued efforts to streamline and gain efficiencies along the value chain, as well as acknowledging the cash and non-cash impacts of our cost of goods sold. In addition, I'd like to offer some additional clarity on the inventory write-off. In the first half of the year, we can lessen inventory assessment, which is customary in our industry. After certain inventory, that was carried over from previous year. We elected to take an inventory write down in the quarter in accordance with WeedMD's production and quality standards on saleable product. In the second quarter of 2020, WeedMD's weighted average cost of sales per gram, inclusive of all costs direct and indirect, is produced and packaged was $2.52, compared to $1.84 in the second quarter of 2019. We had cultivation costs per gram was $0.55 per gram per quarter compared to $0.96 to the same period in 2019. This improvement is a direct result of economies of scale, as we have increased our capacity and efficiency included in initiatives taken at each of our Aylmer, Strathroy and Bowmanville that I mentioned earlier, they expect the improvement to continue throughout the second half of 2020 within our greenhouse and outdoor growth activities. Bringing down our tables that accumulated prior to Starseed and we have done the integration has been one of our key objectives, in fact we've paid over 12 million in payables during the six-month period ended June 30, 2020. We also realized operational efficiencies in our cultivation, which is now fully random, we continued to optimize our files, and most critically, began executing on automation, which has yet to be initialized up to that point. We maintain that the growth expectation for the Canadian cannabis market and WeedMD continue to improve as we move into the second half of 2020 and beyond. General and administrative expenses totaled approximately 4.8 million for the quarter ended June 30, 2020, from 24.4 million for the quarter ended June 30, 2019 and down from 6.4 million in the previous quarter. The [LPA] [ph] increase was primarily driven by the acquisition of Starseed in December 2019 and the company's overall growth many resulting increases in salaries and benefits. However, as noted, we have seen improvements quarter-over-quarter resulting from a conscious effort to reduce overhead OpEx. Adjusted EBITDA loss totaled 5.7 million for the quarter ended June 30, 2020 as compared to a loss of 7 million for the same period in 2019, mainly driven by the impairment charge on inventory during the quarter that I mentioned earlier. Substantial expenses incurred related to increases in production and selling and general administrative expenses prior to optimization initiatives as we reduced these costs in the second half of 2020. Please note, adjusted EBITDA is not a recognized measurement and IFRS and this data may not be comparable to data presented by other companies. Management believes adjusted EBITDA to be an important measure of the company's day-to-day operations. The excluded interest, tax, depreciation and amortization, stock-based compensation, fair value changes and other non-cash items and non-recurring items. This measurement is useful in assessing results of operating and strategic decisions. Net loss and comparing loss for the quarter ended June 30, 2020 was 8.9 million compared with income of 12.6 million for the same period in the prior. The LPA increase in net loss is primary result of increased operating costs. In relation to production ramp up expansion of cultivation facilities the [indiscernible] on inventory that will be included in cost of sales and fair value adjustments on inventory sold. As for our balance sheet, we entered the quarter with cash and cash equivalents of 507 million, total assets as of June 30, 2020, reached 203.7 including inventory and biological assets of 38.6 million, compared to approximately 29.4 million in June the same period last year. As previously discussed or disclosed in June, we amended certain terms of our senior secured credit facility entered into our March 29, 2019. And the returns of the credit agreement amendment, we secure a certain financial covenants like 12 months to June 30, 2021. And quarterly, principal repayments were rescheduled commenced at the end of 2020. Additionally, the company agreed to a 50 basis points increase in the applicable interest rate margin on credit facility. This amendment to our credit facility will provide a greatest financial flexibility to support our continued commercial growth and our expanded distribution channels. And more recently, as Angelo mentioned today, we entered into a 30 million credit facility with LiUNA Pension Fund. This non-dilutive financing matures in June 2022 and provides the company with the financial flexibility to drive WeedMD's commercial initiatives in the next stage of growth. For further information on our financial and operating performance, I encourage you to review the company's financial statements and management discussion and analysis for the quarter ended June 30, 2020, which have been filed and are available through SEDAR. Before turning the call back over to Angelo, I'd like to talk about the current state of the COVID-19 pandemic, how it have impacted our business and our expectations going down. Throughout this pandemic WeedMD has continued to conduct its operations to the fullest extent possible, while continuing to take actions to protect the health and safety of our employees, suppliers and customers. During the first quarter of 2020 Coronavirus did not have a material impact on our business. As we progressed to the second quarter, we experienced a decline in sales relative to first quarter, which in fact can be attributable to economic uncertainty caused by the pandemic. Towards the end of the second quarter earnings in the third quarter, we began to see increasing customer activity in the majority of our markets, the second reopening of the Canadian economy and the steadily decreasing impact of COVID-19. This positive momentum has continued throughout the third quarter to-date, including increased sales, since onset of the pandemic. While we remain optimistic that operating conditions will continue to improve, we will remain prudent and continue to be disciplined in controlling our expenses. We intend to continue improving our operating efficiencies, which will enable us to deliver improved margins and meet increasing consumer demand as the market for cannabis 2.0 continues to develop. Additionally the 30 million credit facility from the LPF will provide us increased financial flexibility as we continue to expand our distribution channel and brand awareness, it should drive further revenue growth. With that, I will turn the call back over to Angelo for closing remarks.
Angelo Tsebelis: Thanks, Lincoln. In conclusion, we are very excited about our prospects for the remainder of the year and beyond. We accomplished a great deal during the first half of 2020 and are proud of what we have already achieved. Importantly, we have laid the groundwork for our continued success moving forward even as we face some challenges and fix some difficult steps along the way. As we move forward we will continue to focus on driving increased revenues and gross margins, expanding our product offerings in both traditional and cannabis 2.0 formats and leveraging our strategic Starseed platform to drive organic growth across all our medical channels, optimizing our color and Saturday cannabis brand, presence and further growth in the adult use sales, forming new commercial partnerships generate incremental revenues, and exploring new ways to enhance our customers overall experience. My team and I want to thank our employees and shareholders for their continued confidence, patience and support. And we look forward to updating everyone at our Q3 earnings call. Now we're happy to take your questions.
Marianella delaBarrera: Thank you, Angelo. This concludes our opening remarks. And we're now ready for the question period. Ariel, please proceed with the instructions to call in.
Operator: Certainly. We will now begin the analyst question-and-answer session. [Operator Instructions] Our first analyst is Neal Gilmer of Haywood Securities. Please go ahead.
Neal Gilmer: Maybe wanted to start Angelo, on some of your prepared remarks. Just trying to make sure I understand the takeaways is accurate? You commented just that you're sort of seeing sales now above the, pre-COVID-19 levels. So I assume that sort of what you're sort of seeing most recently, perhaps in the month of September, but for Q3, I'm trying to get a feel for whether we're expecting, growth off of the Q1 level or growth off of Q2, but still -- maybe still not quite back to where we saw. And when I refer to Q1, I'm excluding that, obviously, that that wholesale payment. I'm more looking at sort of the direct to patient and the wholesale into the provinces, so any sort of further color you can provide on sort of what those sales numbers you've seen recently are.
Angelo Tsebelis: Definitely. And obviously, without trying to provide any sense of formal guidance, the remarks are really about coming back to monthly and run rate that we were seeing really going into March. We really, as you recall, coming into this, late January and early February, we really had that focus around turning around, not just our medical sales, but reintroducing that color brand. And so, we were really starting to see that ramp up, obviously, close to the end of March, once the pandemic hit. And things became a little more serious, we saw that pulling forward that that stockpiling, if you will of in all industries, not just cannabis. There's some seasonality to our medical business. But more importantly, what that coupled with COVID, I think what we're starting to see now is sort of mid-August. And really in the latter part of September, in particular, we're really starting to see that rebound, back to what I would say the Q1 run rate that we were seeing. So feeling quite positive about where things will net out. We haven't obviously calculated Q3 yet but I when think about our results are probably closer to jump off point of Q1 and Q2.
Neal Gilmer: Okay, thanks. Appreciate that. And then can you provide a little bit more color on the medical side? Like if you go back, obviously, I guess when the transaction Starseed closed, let's call it towards the beginning of this year. And, I guess the philosophy there was, as far as the ability to grow that medical side, through some of those agreements, is there, any sort of anecdotal comments you can provide as far as how that's progressing? You know, I guess maybe, again, post sort of the main disruption in Q2.
Angelo Tsebelis: Yes, happy to. I mean, just to reiterate, our model is quite unique, right, they are signed partnerships and arrangements with unions, employers, and it's really all about that cannabis as a paid benefit, quite frankly. The significant driver of our business is obviously, patient registrations and a lot of that had to do with our ability to be there in person activations, and really around driving awareness through education. Obviously, with social distancing that's significantly flattened. The other piece is, we had a number of new partnerships that were lined up, that we were prepared and hoping that we'd be announcing in Q2, obviously, financial prudence during a global pandemic is something that has slowed some of those, what I call B2B discussions. And, we're optimistic that we might see some of that materialize in the latter half of the year, or it may actually get pushed up to 2021. We'll see what that looks like, but there is inherent seasonality in some of that medical business. And we tend to see a bit of a flattening during the summer months that coupled with the pandemic is kind of where we saw that compounding effect, but I'm, again, quite positive and quite optimistic, just given the most recent months in the last number of weeks that that we are starting to climb back into that regular run rate and growth rate that we were experiencing.
Neal Gilmer: Okay, thanks. And then I didn't quite hear clearly, one or two of Lincoln's comments on the gross margin. So I just want to make sure I have my take away here. I thought he said, I believe he said 3.9 million in total non-cash charges and that included a $1.4 million pyramid. And if you mentioned what, -- if you normalize -- if you exclude some of those one time items, what would your normalized gross margin have been for the quarter.
Angelo Tsebelis: As Lincoln -- and that's correct. I thought it would be important to provide a bit of a color on our cost of sales. And so the gross margin because we did absolutely have 2.9 million of non-cash items. And when you back that out, you get 50, accurate 52%. gross Margin.
Neal Gilmer: Okay, yeah, that is helpful. Thank you. And then sort of you took out impairment on the inventory. And, obviously, you probably still have 35 in inventory and some more in biological assets. But do you feel now that there's, at this current time, I guess, I understand how the market can always change, but you're not expecting further impairments, you first sort of feel like you're comfortable with what you've done without impairment?
Lincoln Greenidge: Well, the way it works is that you have to look at the assessment that has to be done on a periodic basis. Certainly, from our standpoint, we believe that the inventory that is currently on our balance sheet, is what will be sold. And we're doing everything in our power to ensure that we have the sales team hitting the road and working through all our markets to sell every single product that we have. So that's basically a way of doing that at this point.
Operator: Our next question comes from Patrick Sullivan of Eight Capital. Please go ahead.
Patrick Sullivan: I don't understand the headwinds experienced in Q2, definitely seen not only in reading these results, but and other companies as well. I was wondering if you guys, do you have any sense of where your market share was in the context of Q2? Was that -- were you still able to grow it? Or was it in line with Q1 or anything you can offer in that regard?
Angelo Tsebelis: We have some insights. And maybe I'll turn it over to Stephen to…
Stephen Ng: I think it varies by province by province. But just to give you a sense, I think our market share was probably relatively flat, I would say in some of the key provinces that we're in.
Patrick Sullivan: Okay, great. Thank you for that. And then, I guess just for in terms of ramping things up. And you guys had procrastinations about 2.0 products and launches. When do you expect that stuff to really hit the income statement? Like when orders taken out or when were thing shipping? And will it be, meaningful in the next quarter?
Angelo Tsebelis: Yes. Fourth quarter will be the quarter when you will see when we'll see that that revenue hit our P&L.
Patrick Sullivan: Okay, awesome. And then, we're starting to hear more and more about the outdoor crops, [Technical Difficulty] harvest and stuff like that. I want to know how are buyers assessing the quality of the outdoor products? Because it sounds like there's going to be quite a bit hitting the market. And I'm not sure exactly how people are being assessed, I guess in quality to just THC content at this point, or are there other metrics that are people are looking at?
Angelo Tsebelis: I'm happy to kind of at least give a initial thoughts and Stephen, feel free to jump in, if there's anything I leave out. Typically, we were actually quite happy with the way we're able to commercialize some of our product last year. We actually found some of our outdoor being used in our finished goods and not just necessarily moving into extraction as most might think that the challenge obviously is with outdoor, there are a number of risks. And it's difficult to truly plan on what those product formats could be. We have obviously, our pre roll formats, we have our ready to roll. And we were quite happy with the cannabinoid content and terpene profiles that we had last year. And we think this year should be just as good, if not better. So, fingers crossed. I mean, at the end of the day, we are in the final stages right now. And as we mentioned, things are looking quite good. The challenge is all the various materials that we would also find in those products, right? And so for the most part, we don't plan on being able to sell dry bud for example, as from the outdoor just because of the variability of the product. Now some of it is looking quite good. And it might be possible. But for the most part, you're right, there is a lot of biomass. That is looks like it's coming online. And I guess it really will come down to the overall quality because as you know, cannabinoid content and THC levels continue to be the primary drivers and feeling that you end up having just a lot of input material otherwise. And so I think that would be the key. I think we're feeling good about where we're at.
Patrick Sullivan: Okay, great. So just to be clear, it sounds like that dried flower is going to be directed to mostly extracted products and the end product not sold as dried products.
Angelo Tsebelis: We will do both. We will have payrolls and our ready to roll formats. Absolutely. It's just it won't be sold, as I said, whole bud.
Patrick Sullivan: Yes. Got it. And then, one last one here for me. And I'll get back. Is there anything you guys provide with respect to no CapEx for the remainder of the year or some sort of guidance on that?
Angelo Tsebelis: We don't have official guidance. But we've been saying all along that our infrastructure is actually quite solid. We're in a very positive position that at best it remains modest. There are some maintenance and slight improvements that we continue to make. But there is no material CapEx that is required to fulfill our and execute against our plan.
Operator: Our next question comes from Chris Damas of BCMI Research. Please go ahead.
Chris Damas: If you multiply the grams by the volumes, you get 4.84 million in sales but there's 5.8. Where's the other million in revs? Is that something else?
Lincoln Greenidge: Chris, the difference is extracts. The kilos that were reported were sales of dry flower.
Chris Damas: Okay, so you don't do an equivalency reporting extracts?
Angelo Tsebelis: No. We don't.
Chris Damas: Would the extracts be in the medical area you think?
Angelo Tsebelis: Yes, primarily in the medical channel.
Chris Damas: Okay. Secondly, what was just for housekeeping purposes, what was the harvest during the quarter, obviously, from the greenhouse?
Angelo Tsebelis: Hope you have that.
Stephen Ng: It was it just over 6000 kilos.
Chris Damas: Right. And lastly, the white line will deal with Fire and Flower. And you have more retailers that you're working with or do you have to exclusively work with Fire and Flower?
Stephen Ng: The agreement with Fire and Flower was a great opportunity for us to work with a retailer it is not exclusive. So we certainly have the ability to work with other retailers and frankly, any other partner around product and brand partnerships. So I think we've seen continued interest in that from other groups. And we'll continue to assess those on an individual basis.
Operator: [Operator Instructions] Our next question comes from Greg McLeish of Mackie Research. Please go ahead.
Greg McLeish: Hi, guys. Just a couple of questions. What do you think your cash breakeven is on revenue right now?
Angelo Tsebelis: I will let Lincoln.
Lincoln Greenidge: So Chris, what I could say is, we're proceeding with our plans to become cash positive in 2021. And our plan remains that way. We don't provide guidance, specifically to our exact breakeven. But if you look at our numbers, I think it's in line with and reaching to that point, with the [Technical Difficulty] million that we've received and financing, we believe that we are now we have the flexibility to execute on that plan.
Greg McLeish: And it looks to me that if you know what would be a good sort of gross profit number, if you know values 35%, 40%, you guys are going to have to generate at least north of 60 million in order to be cash breakeven, if I'm not correct.
Lincoln Greenidge: No, I won't say that. Actually, I think we could certainly -- we will certainly reach breakeven, lower revenue number and here is the reason why. What are we currently taking, number one, obviously, to grow our top-line and our revenue, and we've been invested in our sales team. But also, you will see that. And we're committed to doing that, you'll see the reduction in costs, continue to be demonstrated, not just for the value chain, from cultivation, all the way to packaging. And ultimately, that's what will drive our breakeven number, right? So the results now and I think I may have mentioned that previously, you need to strip out some of those accounting adjustments that continue to mask the true performance. And when you strip that out, I think you will notice that we actually will get to a breakeven number at a lower revenue at that number.
Greg McLeish: I guess my concern here is, is that you're continuing to burn through cash, you've got the new LiUNA credit line, which is good, but it's at 15% interest rates, I mean, that's $4.5 million per year. Now I know you can do a payment and kind of what my concern is, is that you're going to absolutely dilute the equity shareholders going forward because, you've got a high debt position, and when the share price is where it is, it's hard to raise equity at these levels. So what comfort, can you give to the equity shareholders of the business that you can generate a long-term return for them.
Lincoln Greenidge: So I think I'll take that. And if Angelo or Stephen want to add some color, they can certainly do so afterwards, I'll reiterate that. The comfort I give, certainly shareholders in terms of not diluting the interest is that we will become cash positive. And we will be able to service our debt plan. The plan that we have in terms of automations, we continue to automate, we continue to look at all our costs and reduce and I'm seeing the signs right now as we go into, I guess in Q4 now that we can reduce our costs significantly in order to continue to reach to that -- meet our plan and that plan is obviously to become a sustainable, profitable business. So once again if something that you have, I believe firmly that we can do, we've seen the signs that it's happening. So near the top line, we're growing our revenue. And as I indicated before, you will see our costs continue to come down, obviously, relatively to the increase in sales.
Operator: Our next question is a follow up from Patrick Sullivan of Eight Capital. Please go ahead.
Patrick Sullivan: Hi, guys, just one last one for me. I was just wondering, I know the credit facility closed very recently, but has there been any draw on it? If you can share that?
Angelo Tsebelis: Pardon me, can you repeat the question Pat?
Patrick Sullivan: So have you guys drawn on the credit facility at this time?
Angelo Tsebelis: No, no, we haven't.
Lincoln Greenidge: Sorry. Just to clarify. The structure of the debt is, it's not structured as a revolver or an accordion. So it's a one time bullet. So we are in receipt of cash from the issuance of the debt.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Angelo Tsebelis: Just once again, thank everyone for attending today's call and for your continued interest in our company and as we said in your continued patience as well. We look forward to having full conversations with many of you and end up getting your continued progress. Thank you all again and have a great day.
Marianella delaBarrera: Thank you.
Lincoln Greenidge: Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thanks for participating and have a pleasant day.